Operator: Good evening, ladies and gentlemen. Thank you for standing by. Welcome to Allison Transmission's Fourth Quarter 2021 Earnings Conference Call. My name is Hector, and I will be your conference call operator today. At this time all participants are in a listen-only mode. After the prepared remarks, the management team from Allison Transmission will conduct a question-and-answer session and conference call participants will be given instructions at that time. As a reminder, this conference call is being recorded.  I would now like to turn the conference over to Mr. Ray Posadas, the company's Managing Director of Investor Relations. Please go ahead, sir.
Ray Posadas: Thank you, Hector. Good evening and thank you for joining us for our fourth quarter 2021 earnings conference call. With me this evening are Dave Graziosi, our Chairman and Chief Executive Officer; and Fred Bohley, our Senior Vice President, Chief Financial Officer and Treasurer. As a reminder, this conference call, webcast and this evening's presentation are available on the Investor Relations section of our website, allisontransmission.com. A replay of this call will be available through February 23. As noted on Slide 2 of the presentation, many of our remarks today contain forward-looking statements based on current expectations. These forward-looking statements are subject to known and unknown risks including those set forth in our fourth quarter 2021 earnings press release, our annual report on Form 10-K for the year ended December 31, 2020, and our quarterly reports on Form 10-Q for the quarters ended March 30, June 30 and September 30, 2021, uncertainties related to the COVID-19 pandemic and related responses by governments, customers and suppliers and other factors as well as general economic conditions. Should one or more of these risks or uncertainties materialize or should underlying assumptions or estimates prove incorrect, actual results may vary materially from those that we express today. In addition, as noted on Slide 3 of the presentation, some of our remarks today contain non-GAAP financial measures as defined by the SEC. You can find reconciliations of the non-GAAP financial measures to the most comparable GAAP measures attached as an appendix to the presentation and to our fourth quarter 2021 earnings press release. Today's call is set to end at 5:45 p.m. Eastern Time. In order to maximize participation opportunities on the call, we will take one question from each analyst. Please turn to Slide 4 of the presentation for the call agenda. During today's call, Dave Graziosi will review highlights from our 2021 results and provide a brief operational update. Fred Bohley will then review our fourth quarter financial performance and introduce full year 2022 guidance prior to commencing the Q&A. Now, I'll turn the call over to Dave Graziosi.
Dave Graziosi: Thank you, Ray. Good evening and thank you for joining us. During the last two years, the global pandemic has presented our industry and the world with many challenges. Despite this environment, the Allison team and our partners have continued working tirelessly to support our customers, essential workers and critical infrastructure while ensuring the uninterrupted delivery of the Allison brand promise. Once again, I'd like to take a moment to thank the Allison team and our partners for their continued dedication and resilience during this critical period. 2021 was another notable year for Allison's growth objectives. Allison's net sales accelerated in the fourth quarter largely driven by a recovery to pre-pandemic levels in the outside North America On-Highway end market. In fact, fourth quarter net sales were up sequentially across all of our end markets as our global customers and partners work diligently to meet global demand. Within the outside North America On-Highway end market, the Asia Pacific region achieved full – record full year revenue less than two years following the severe global disruptions of the pandemic. And thanks to our team's persistent execution over the years. Today we are benefiting from Allison's growth initiatives, while the global economy continues to recover. Though challenges remain, we have come a long way and our success is aligned with our long-term strategy of continuous global market leadership expansion. In recent weeks, we have made a number of announcements that will support Allison's long-term growth objectives. For instance, Allison's award-winning 3414 Regional Haul Series fully automatic transmission designed for the heavy-duty regional haul and day cab tractor market was released by Volvo Trucks North America and its heavy-duty VNL series. The first production orders for Volvo's 3414 RHS equipped VNL trucks have already been built for regional haul, food and beverage and distribution customers. Volvo is the third OEM to release Allison's 3414 Regional Haul Series following releases by Navistar and Daimler Trucks North America. The 3414 RHS is the latest example of Allison's dedication and commitment to continued innovation. It expands our addressable market, enables the pursuit of market share growth and represents an incremental revenue opportunity of $100 million annually for Allison in the North America heavy-duty day cab tractor market. Next, I'm pleased to report that the first units of Allison's next-generation hydraulic fracturing transmission, FracTran have been delivered and are currently undergoing installation with multiple customers. FracTran is the result of extensive voice of customer insights and duty cycle analysis from decades of Allison products operating in the hydraulic fracturing space. From dual fuel engines with the capability to run on natural gas, to increasing horsepower and substantially reduced idle time, FracTran offers a unique combination of versatility, power and efficiency. We are excited to see FracTran in the field and are confident that it will deliver the dependability necessary to meet the unique and continually evolving demands of this industry. FracTran represents $100 million annually in incremental revenue potential for Allison's global off-highway end markets. Our global Off-Highway team is also actively pursuing incremental penetration opportunities around the world in the energy, mining and construction sectors. Allison's outside North America On-Highway end market has not only recovered to pre-pandemic levels, but it also remains positioned for further growth, thanks to numerous initiatives around the globe. For example, during our technology event last October, we highlighted the success of the Allison 1000 series equipped Hyundai Mighty in Korea, having achieved 40% market share within its first year of release. The Korean light duty truck market consists of approximately 10,000 units annually and the success of this release, though smaller than many other initiatives, is representative of the growth potential that exists for Allison globally. In China, Allison's wide-body mining dump truck growth initiative includes both domestic and export opportunities and leverages Allison's existing and proven 4000 Series fully automatic transmission. These Allison equipped vehicles can carry more loads per day, thanks to powerful performance, faster acceleration and ease of operation resulting in an estimated 10% increase in productivity. This program alone represents more than $50 million annually in incremental revenue potential for the outside North America On-Highway end market. These initiatives, along with many others highlighted during our Technology Day last year are delivering tangible results and positioning Allison for growth while we simultaneously invest in the next generation of propulsion technology to facilitate the transition to zero emission. Turning to the supply chain. We anticipate broad challenges will remain for the foreseeable future, the availability and utilization of labor, global shortages of electronic components, logistics disruptions, including air and ocean freight and port delays as well as the availability of raw materials are all expected to continue to impact the commercial vehicle industry's ability to align with customer demand. Though uncertainty persist global customer and end-user demand remains robust, and the Allison team has taken and will continue to take actions that address and mitigate production challenges. Lastly, I'd like to briefly comment on our well-defined approach to capital allocation, which continues to drive earnings per share growth well in excess of net income growth. In 2021, we settled over $0.5 billion of share repurchases, representing 12% of shares outstanding as of December 31, 2020. Notably, during each of the last five years, we have repurchased on average 10% of our outstanding shares annually, while simultaneously increasing EPS by more than 200% in aggregate. 2022 marks another milestone for Allison Transmission. It's been 10 years since our initial public offering took place in March of 2012 and as a customer and as a team, we have come very far. Through the years, we have worked diligently to strengthen our enterprise, support our customers, deliver the Allison brand promise and serve our communities. We've invested across the organization, driving world-class performance and manufacturing and product development. We've also invested in and developed innovative solutions that are helping to reduce emissions, enhance productivity and improve the way the world works. And our unwavering commitment to prudent balance sheet management and opportunistic approach to the capital markets, combined with the team's persistent execution of growth initiatives and investments across all of our end markets are positioning Allison to drive growth and returns for all of our stakeholders for years to come. Thank you and I'll now turn the call over to Fred.
Fred Bohley: Thank you, Dave. Following Dave's comments, I'll discuss the Q4 2021 performance summary, key income statement line items and cash flow although – then introduce full year 2022 guidance before commencing the Q&A. Please turn to Slide 5 of the presentation for the Q4 2021 performance summary. Year-over-year net sales increased 20% to $644 million from the same period in 2020 and increased 14% sequentially, resulting in the strongest revenue quarter of the year as production accelerated to meet robust customer demand despite continuing commercial vehicle industry production constraints due to supply chain challenges. The increase in year-over-year results was led by a 38% increase in the outside North America On-Highway end market, principally driven by strong customer demand in Asia and the continued execution of growth initiatives. Year-over-year results were further led by a $26 million increase in the North American Off-highway end market, driven by improving demand for hydraulic fracturing applications, a $24 million increase in the outside North America Off-Highway end market, driven by higher demand in the energy, mining and construction sectors and a 19% increase in the Service Parts, Support Equipment and Other end market principally driven by increased demand for North American On-Highway service parts and global support equipment and price increases on certain products. Gross margin for the quarter was 47.4%, an increase of 10 basis points compared to 47.3% for the same period in 2020. The increase was principally driven by higher net sales and price increases on certain products, partially offset by unfavorable material costs. Net income for the quarter was $118 million compared to $60 million for the same period in 2020. The increase was principally driven by higher gross profit and expenses related to long-term debt refinancing in November 2020 that did not reoccur in 2021, partially offset by increased product initiatives spending. Adjusted EBITDA for the quarter was $220 million compared to $186 million for the same period in 2020. The increase was principally driven by higher gross profit, partially offset by increased product initiatives spending. A detailed overview of our net sales by end market can be found on Slide 6 of the presentation. Please turn to Slide 7 of the presentation for the Q4 2021 financial performance summary. Selling, general and administrative expenses decreased $1 million from the same period in 2020, principally driven by unfavorable 2020 product warranty adjustments that did not reoccur in 2021, partially offset by higher commercial activity spending. Engineering, research and development expenses increased $10 million from the same period in 2020, principally driven by increased product initiatives spending. Please turn to Slide 8 of the presentation for the Q4 2021 cash flow performance summary. Adjusted free cash flow for the quarter was $105 million compared to $128 million for the same period in 2020. The decrease was principally driven by increased capital expenditures, partially offset by higher net cash provided by operating activities. During the fourth quarter, we repurchased $187 million of our outstanding shares at an average price of $35.62 and paid a dividend of $0.19 per share. We ended the quarter with a net leverage ratio of 2.8 times, $127 million of cash, $645 million of available revolving credit facility commitments and approximately $314 million of authorized share repurchase capacity. We continue to maintain a flexible, long-dated and covenant-light debt structure with the earliest maturity due in 2026. As Dave touched on earlier, in 2021, we repurchased $513 million of our outstanding shares or the equivalent of over 13 million shares. Indeed, over the past 10 years, we have substantially and opportunistically reduced our shares outstanding from over 180 million shares at the time of the IPO in March of 2012 to less than 100 million shares today. Please turn to Slide 9 of the presentation for the 2022 guidance. We expect net sales for 2022 to be in the range of $2.625 billion to $2.775 billion. Our 2022 net sales guidance reflects higher demand in the global on-highway, global off-highway and service parts, support equipment and other end markets as a result of the ongoing global economic recovery, continued strength in customer demand and price increases on certain products. In addition to Allison's 2022 net sales guidance, we anticipate net income in the range of $430 million to $520 million, adjusted EBITDA in the range of $865 million to $975 million and net cash provided by operating activities in the range of $570 million to $680 million. Capital expenditures in the range of $170 million to $180 million and adjusted free cash flow in the range of $400 million to $500 million. Allison's 2022 net sales guidance by end market can be found on Slide 10 of the presentation. And finally, our full year 2022 guidance also reflects the 10% increase in engineering, research and development expenses to fund product development initiatives in support of organic growth across all of our end markets. Thank you and this concludes our prepared remarks. Hector please open the call for questions.
Operator: Thank you.  Our first question comes from the line of Tim Thein with Citigroup. Please proceed with your questions.
Tim Thein: Yes. Good evening, how are you guys doing? Do you hear me?
Fred Bohley: Yes, we can.
Tim Thein: Sorry, Fred, maybe just as you think about the different drivers here from an end market perspective, what that stands out is just how the behavior of the market, specifically within the energy patch historically where the leads and the lags in terms of the aftermarket and refurb work typically leading whole goods demand? Based just on the guidance, and obviously, there's other components within that service parts and support equipment line that will be impacting it. But just trying to tease out how those individual categories are kind of performing in terms of – are you seeing that normal relationship with the refurb activity leading new unit demand or not? It's not – there's some kind of different signals out in the market. So maybe you can just talk about that market in particular. Thank you.
Dave Graziosi: Tim, its Dave. Good evening. so to your question on energy, as we've talked before and I think we touched this a few times last year, just given the position of the market coming into the downturn and then the reaction, of course, to energy prices starting to increase around November of 2020, and you have that first leg and then the second leg you could certainly see the level of utilization, specifically picking up in North America, which is our largest energy market. picking up. But as you know, the capital discipline that's being exhibited by those in that industry is probably different than it's been in prior cycles. So to your point about lead lag the position of the fleet coming in, returning that or reactivating it, if you will, that process is obviously well underway. What we also have talked to is this point about moving fleets back into utilization, but the idea that given the capital discipline and those plans to keep a relatively tightly supplied market, our expectation was you would first see some level of refurbs taking place of components. Then those components ultimately being replaced on existing rigs. And then the next point to be had would be potentially new rig builds. So that sequence is well underway in terms of what I would say is we're in that the second step there, which is the replacement of components rather than refurb and then soon to be followed, we would think, at some point, with new rate builds, assuming the same level of utilization and consumption of equipment. But obviously, as you know, with the elevated level of both demand and pricing right now, the returns are attractive. The cash flow is available. But I think the thing to really watch out for is maintaining the capital discipline of what the industry has shown to-date. And that, in my mind, will – should support the sequencing that I just laid out.
Fred Bohley: Yes. One thing that might be a little different about this cycle is we've seen a lot of people when they're refurbing choose to use new transmissions, where before they may be overhauling, I think it's a situation with the quality of the – the number of times the product out there has already been overhauled. A lot of times, they're procuring a brand-new transmission. In that case, you see that roll through our North America Off-Highway end market. And you saw that ramp up in the second half of 2021.
Operator: Our next question comes from Jamie Cook with Credit Suisse. Please proceed with your question.
Jamie Cook: Hi, good morning and nice quarter. I guess my question, just on the North American On-Highway guide, the up 18%, that seems to be sort of better than what industry experts are – the industry forecasts are and you guys tend to be conservative. So I'm sort of wondering what's lumped in there in your top line guide in terms of like volume price versus – or market share growth? And then, Fred, any color on how to think about sort of the margin progression throughout the year, just with price rolling in? Thank you.
Fred Bohley: I would say there are – starting, Jamie, with the – with our guide for North America On-Highway being up 18% year-over-year. certainly, there's an element of price across all of our end markets. Our guide assumes about 275 basis points of price, 125 basis points of that being the commodity pass-throughs that we've spoken to that lag six- to 12-months and the balance 150 basis points being just commercial pricing. So there's an element of it there. When we look at the various classes, obviously, the drivers for us are Class 6, Class 7 school bus, Class 8 straight, our view is Class 6, Class 7 school bus are going to be up close to 25% year-over-year with Class 8 closer to probably 12%. So those are what drive our outlook there. And I think your second question was relative to margins. So as I mentioned, we have significant price in the plan, but commodities have continued to elevate. So as we have it modeled right now for 2022, we are slightly favorable on a price cost standpoint. But when you really look at adding significant price and costs, unfortunately, come in very close to that, it obviously impacts your drop-throughs, and that on its own, adding that price cost and is negatively impacting our margins by about 100 basis points. And then as we mentioned in the pre-prepared remarks, we do have engineering R&D up about 10%. So that impacts us about another 70 basis points in margin on a year-over-year basis.
Jamie Cook: Okay. Thank you.
Operator: Our next question comes from Tami Zakaria with JPMorgan. Please proceed with your question.
Tami Zakaria: Hi, thank you for taking my question. So your EBITDA guide for the year sort of has a wide range. So could you comment on what’s embedded in the low end versus the high end?
Fred Bohley: Yes. I would say, in general, as you enter into this year, there’s a tremendous amount of uncertainty relative to the supply chain. So the low end and the high end our ability to hit that is really going to be driven by the OEM’s ability to produce vehicles and therefore, needing our transmissions. And then obviously, we have pretty attractive incremental drop-throughs on those volumes. So that’s the biggest variable, but there’s also still a tremendous amount of uncertainty around input costs. We do and we have modeled steel and aluminum to be up year-over-year. So that’s certainly a variable we’re paying very close attention to. I talked to the pricing in the plan, the 275 basis points I would say we’re still also actively looking at where there might be some other opportunities based on the value add of our product to potentially gain some additional pricing as well.
Operator: Our next question comes from Felix Boeschen with Raymond James. Please proceed with your question.
Felix Boeschen: Hey, good afternoon, everybody.
Dave Graziosi: Afternoon.
Felix Boeschen: Afternoon. Hey, I was curious if you could talk a little bit more about the traction of the regional haul series. You mentioned the 3 OEM launches and the recent announcement there, the $100 million market opportunity. And I’m really curious if you could speak to the $100 million. Just curious how quickly you think you might chip away at that opportunity? And specifically, you mentioned you have some orders already in the backlog, curious what’s baked in for FY 2022, if you care to share on that, Fred?
Fred Bohley: So the – when we look at that regional haul market, it’s not all addressable for us with the 3414. But when we look at the – about 25% to 30% of that market being addressable. When we think of the $100 million opportunity, it’s really driving our share from where it is today to what we consider sort of Allison S type of share. If you think about where we sit in Class 6, 7, Class 8 straight. So that share assumption assumes we get somewhere up in the 60% range. We’re really just launching that product. So our share today is around 5%. So there’s significant opportunity. People, they understand the product. It’s proven. It’s a variant of our 3000 Series. It’s being used in day cab tractors today. It’s just we’re now extending the ratings of horsepower and torque in order to achieve a wider addressable market. The $100 million, I wish it will come day one, but that’s a number that we believe is going to take us something in the neighborhood of three to five years to achieve.
Operator: Our next question comes from Courtney Yakanovis – I apologize, Courtney Yakavonis with Morgan Stanley. Please proceed with your question.
Courtney Yakavonis: Hi, good afternoon guys. Thanks for the question. I was just wondering, can you give us an update on where your market share is on the key North America On-Highway end markets? And I think it was asked earlier, but can you give us any sense of how you’re thinking about your market share in these specific classes in the 2022 guidance?
Dave Graziosi: Courtney, it’s Dave. Good evening. To answer your question, again, we’ll be publishing some material here shortly in terms of updating. But for 2021, again, our current estimates, if you will, were more or less flat in Class 4, 5 at around 14%. Motorhome is up slightly year-over-year to the 49%, high-40s, school bus reasonably close to 2020 in the mid-80s range. Class 6, 7 in the mid-70s to higher 70%, call it, 77% on Class 6, 7. Class 8 straight truck more or less flat year-over-year, it’s a high 70% range. And again, still looking at the numbers, but more or less in those ranges. And Fred just talked about our thoughts in terms of where we’re at with this so-called Class 8 day tractor market and starting to penetrate with the 3414 RHS.
Courtney Yakavonis: Okay. Great. That’s helpful. And then if you can just help us think about – I think you had mentioned that you’re modeling steel and aluminum to be up year-over-year, which is part of the EBITDA guidance. But any additional color you can help us as we’re thinking about modeling the margin cadence through the quarters?
Fred Bohley: Sure, Courtney. This is Fred. SG&A, we have just slightly up year-over-year and currently a relatively straight line sort of cadence there. The engineering R&D, as we talked to in the prepared remarks, up 10%. Expect that spend again to be relatively even throughout the quarters. The pricing, the vast majority of that pricing was recognized on 1/1. So as we – there’s obviously a lot to shake out throughout the year, but primarily on the top line and how will revenue come in relative to the supply chain challenges. But as we sit here, first quarter. The demand is certainly there. It’s the daily challenges from a supply chain, but the team here is managing through it. And as I mentioned earlier, we do have a little wider range on the guide just because of the uncertainty out there primarily from the top line.
Courtney Yakavonis: Okay. Thank you.
Operator: Our next question comes from Jerry Revich with Goldman Sachs. Please proceed with your question.
Jerry Revich: Hi, good afternoon. Fred, normally, on a seasonal basis, your first quarter EBITDA tends to be up about 10% to 15% sequentially off of fourth quarter levels. And I’m wondering, given all the moving pieces around seasonality, is that still the right way to think about it? In other words, what’s the margin cadence that you folks are anticipating over the course of the year versus a normal seasonality? Thanks.
Fred Bohley: Sure, Jerry. I mean it’s interesting because as we – as I highlighted, I mean, Q4 highest revenue quarter of the year, $220 million in EBITDA. So 2021, a little bit of an anomaly in how we would normally see the markets work. We usually expect Q4 to be our softest quarter. As we have modeled the total bottom line, the $920 million, we do have things picking up in Q2 and Q3 off of Q1 on the expectation that you’ll see some small improvements in the supply chain. That’s our preliminary view. But as I mentioned earlier, expenses are modeled relatively flat for the year. So it’s really going to be a determination on how top line ends up and as we have it right now, we do have Q2 and Q3 modeled above Q1 from a revenue standpoint.
Jerry Revich: And Fred, just to make sure I’m aligned with you. So it sounds like you’re thinking about top line, similar 1Q as 4Q. So therefore, EBITDA margins more or less similar, 1Q as 4Q, that I understand you’re right.
Fred Bohley: Yes, yes. it’s just what I would not – normally, you’d expect Q1 to jump up off of Q4, but with such a strong Q4 model in Q1 relative to Q4. pretty flat on a sequential basis with some more strength in Q2 and Q3 and in Q4, being typically a little softer just due to the number of holidays at the OEMs.
Jerry Revich: Got it. Appreciate it. Thanks.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back to Mr. David Graziosi for closing remarks.
Dave Graziosi: Thank you, Hector. Thank you for your continued interest in Allison and for participating on today’s call. Enjoy your evening.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you all for your participation.